Operator: Ladies and gentlemen, thank you for standing by. And welcome to the Summit Hotel Properties Fourth Quarter and Full Year 2020 Earnings Conference Call. At this time, all participant lines are in a listen only mode. After the speakers’ presentation, there will be a question-and-answer session [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference to your speaker today, Adam Wudel, Senior Vice President of Finance and Capital Markets. Please go ahead, sir.
Adam Wudel: Thank you, Victor, and good morning. I am joined today by Summit Hotel Properties President and Chief Executive Officer, Jon Stanner. Please note that many of our comments today are considered forward-looking statements as defined by Federal Securities laws. These statements are subject to risks and uncertainties, both known and unknown, as described in our SEC filings. Forward-looking statements that we make today are effective only as of today, February 24, 2021, and we undertake no duty to update them later. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call on our Web site at www.shpreit.com. Please welcome Summit Hotel Properties President and Chief Executive Officer, Jon Stanner.
Jon Stanner: Thanks, Adam, and thank you all for joining us today for our fourth quarter and full year 2020 earnings conference call. As you are all well aware, 2020 was a historically challenging year for our industry as air travel and business and consumer spending deteriorated significantly, primarily as a result of measures taken to slow the spread of the COVID-19 virus, which led to a previously unimaginable over 35% decline in industry wide demand. Despite the unusually difficult operating environment, we are pleased to have made tremendous progress on several key initiatives during the year that we believe uniquely and favorably position Summit for growth. Today, I'll provide a recap of our fourth quarter and full year financial results, along with a few of our more notable accomplishments, an update on current operating trends and our outlook for the business and our company going forward. RevPAR in our pro forma portfolio declined 63.7% in the fourth quarter, essentially on top of a 63.5% decline in the third quarter, as the seasonally slower fourth quarter provided slightly easier year-over-year comparisons, that mostly offset marginally lower nominal RevPAR. Our fourth quarter RevPAR declined compared favorably to the RevPAR declines in top 25 in urban markets of 69% and 76% respectively. For the second consecutive quarter, our portfolio was profitable at the hotel level and has been profitable on a cumulative basis since May, with an average RevPAR of approximately $40, demonstrating the clear benefits of our efficient and flexible operating model. Our asset and revenue management teams continue to do a remarkable job operating in a low demand environment as our pro forma portfolio achieved a RevPAR index of nearly 138% during the fourth quarter, which represents a market share gain of nearly 22 percentage points compared to the fourth quarter of 2019. For the full year, our pro forma portfolio finished with a RevPAR index of 134%, which represents an increase of more than 19 percentage points. During the fourth quarter, the well documented trend of weekend occupancy and RevPAR outperformance continued as leisure travel remains the primary source of demand throughout our portfolio. Weekend occupancy was 52% during the fourth quarter, which led to RevPAR levels that were 40% higher than week days. With the demand profile at our hotels virtually unchanged from recent quarters, occupancy trends across various location types and chain scales remained fairly consistent in the fourth quarter. Hotels in markets we classify as drive-to outperformed hotels in fly-to markets by nearly 20 percentage points, and hotels located outside of CBD locations fared better than our hotels in downtown locations by a similar margin. Our extended stay hotels posted fourth quarter occupancy of approximately 60%, achieving a 74% RevPAR premium compared to our non-extended stay hotels. Urban hotels continue to lag the industry recovery, though, occupancy in our urban and CBD portfolio has generally stabilized. Our 42 nonurban hotels achieved nearly 55% occupancy during the fourth quarter and ran over 60% on weekends. And our hotels in resort, suburban airport and other locations also performed relatively better during the fourth quarter, each posting occupancies of more than 50%. For the full year 2020, we reported pro forma RevPAR of $52, which represents a decline of 59.2% year-over-year. This decline also compares favorably to the declines in top 25 in urban markets of 62% and 68% respectively. While these revenue declines translated into material erosion in the profitability of our hotels, we were pleased to still report positive adjusted EBITDA at the corporate level for the full year, partially driven by our team's ability to quickly adapt the operating model of our hotels. By the time lodging demand troughed in April of last year, hotel level full time equivalents had been reduced by approximately 85%, leading to a 47% reduction in hotel operating expenses in 2020, which were down over 4% on a per occupied room basis despite historically low occupancy levels. On an aggregate basis, hotel level operating and fixed expenses were approximately $140 million lower in 2020 than in 2019. And our hotel EBITDA retention was an impressive 46% from April through year-end despite over a 70% decline in RevPAR during the same period. Hotel level operating retention also benefited from our ability to thoughtfully modify services and amenities across the portfolio throughout the year. Despite recent improvements and some stabilization in occupancy, we continue to operate our hotels utilizing a very lean staffing model, as we had, on average, less than 14 FTEs per hotel during the fourth quarter, approximately 40% of normalized pre-pandemic staffing levels. In an effort to preserve liquidity, we delayed most nonessential capital expenditures and suspended common dividend distributions in 2020, which combined preserved approximately $30 million in the fourth quarter and $120 million on an annualized basis. To date we have more than $400 million of liquidity and a manageable monthly cash burn rate that averaged just under $7 million per month in the fourth quarter. This represented a slight increase from the third quarter as a result of the lower nominal RevPAR levels, but represents nearly 40% improvement from the second quarter and the continuation of a generally declining trend. Forecasting our business continues to be very difficult, in part driven by an extremely short booking window that became common early in the crisis and has persisted through the first couple of months of 2021. For example, approximately 55% of our transient occupied room nights in the fourth quarter were booked within 72 hours of stay and nearly 70% booked in the week for the week. Despite the short term nature of demand, January operating results were stable, generally in line with December and we are expecting the beginning of a gradual pickup starting in February. Our performance over President's Day weekend was particularly encouraging as we had our best weekend and best single night since the start of the pandemic on that Saturday, with a portfolio wide RevPAR of nearly $90. The near term pickup in demand in February has been robust, partially aided by the Super Bowl, President's Day weekend and some pickup from the winter storms in Texas. And February is now pacing toward being our best month post pandemic in line with October of last year. As importantly, pace for March is up significantly from where February stood a month ago. We believe this all bodes well for strong leisure demand as we get into the spring and summer months. Assuming a reasonable time line and trajectory for the continued recovery in demand, we believe we can be cash flow positive at the corporate level in the latter part of the second quarter. Shifting to the balance sheet. In January, we successfully completed a convertible notes offering that generated gross proceeds of $287.5 million at a 1.5% coupon that mature in February 2026. The notes have a base conversion premium of 37.5%. And as part of the transaction, we entered into capped call transactions that increased the effective conversion premium to 75% or $15.26 per share. Net proceeds from the transaction totaled $258.7 million, which were used to reduce our outstanding revolver balance to zero and partially pay down our $225 million term loan maturing in November of 2022, to a balance of $127 million. Earlier this month, we successfully amended our senior unsecured credit facilities to extend the covenant waiver period through March 31, 2022, with modified covenant testing through December 31, 2023. In addition to extending our covenant waiver period, our amendment increases liquidity by providing access to the full availability of our $400 million revolver, which currently has an outstanding balance of $10 million. We also have the ability to utilize $150 million of current liquidity to fund new investments and have an unlimited ability to fund acquisitions with equity issuances. We currently have more than $400 million of total liquidity, which includes approximately $23.5 million of unrestricted cash on hand. Today, our weighted average interest rate is approximately 3.2%. We have no debt maturities until November of 2022 and ample liquidity to repay all maturing debt through 2023. While the current operating environment for our business continues to be challenging, we remain decidedly bullish on the outlook for our industry generally and the future of Summit specifically. All indications point to considerable pent up demand for travel, particularly leisure travel. And as the continued vaccine rollout leads to lower COVID case counts and related hospitalizations globally, we believe a more normal travel environment will take hold. We are blessed with a tremendous portfolio and an experienced and capable team. Combined with our strong liquidity profile and the flexibility of our balance sheet, we believe we are uniquely positioned to pursue value creation opportunities. One housekeeping note on the timing of the filing of our 10-K. Typically, we file our 10-K simultaneously with the release of our earnings press release. However, given the unusually severe winter weather we experienced in Texas last week, which led to widespread power outages, we are delaying the filing until this Friday, February 26th. Our audit partners are in the process of completing their audit of certain financial control procedures and performing audit related administrative matters, which are required prior to issuing their final opinion. We expect to receive an unqualified opinion on the financial statements provided in our earnings release, which will be the same as those included in our Form 10-K. Before I open it up to questions, let me take a brief moment to talk about our recent leadership transition. Many of you have had the opportunity to get to know and work closely with Dan over the years and are well aware of his passion for and dedication to this business. In his transition to his new role as our Executive Chairman, he leaves a lasting legacy of his success, underpinned by a tremendous track record and unwavering commitment to transparency and integrity. To me, he has been a role model, a mentor and an inspiration. And while he remains an important part of our organization, I'd like to publicly thank him for all of his contributions to this industry, our company and me personally. He certainly leaves a large pair of shoes to fill. We're currently conducting a nationwide search for our next CFO and hope to have an announcement coming over the next several weeks. The rest of our team remains engaged, motivated and extremely excited about the bright future we have in front of us at Summit. And with that, we'll open the call to your questions.
Operator: [Operator Instructions] Our first question comes from the line of Neil Malkin from Capital One Securities.
Neil Malkin: Jon, congratulations. Look forward to hearing your voice, tell us what happened in the quarter. Can you just talk about San Francisco, maybe just kind of in general, capital allocation. So your San Francisco portfolio is not really sort of the CBD heavy portfolio, but just kind of given, I wanted to get your thoughts on how you see San Francisco and markets like that, that you have exposure to, and how you kind of view those markets in this cycle as it pertains to capital allocation? Just given what we've seen in terms of a lot of companies leaving the sort of coastal urban markets for apparently of reasons I know usually, you say you're market agnostic, but love to get how you're thinking about that as we kind of are in the early stages of recovery.
Jon Stanner: I think to your point, San Francisco has been a market that's obviously a high profile market for our industry that has had some significant challenges. We're fortunate that we only have one hotel closed in our portfolio, 72 assets, and that hotel happens to be in downtown San Francisco in Fisherman's Wharf. And I think everyone has agreed that the path to recovery there is potentially a little bit longer. We are fortunate that more of our exposure in that city is down closer to the airport and in the Oyster Point submarket, which is really fueled by a lot of biotech and life science type business that we think comes back faster and in a more robust way, maybe than some of the stuff downtown or at least sooner. I wouldn't certainly write-off permanently the return of demand to gateway cities, and San Francisco is including that. Part of the struggle that San Francisco is going to have, particularly, is there's a real distinct lack of international travel today. And so I think ultimately, that comes back. I do think because of those factors, we would certainly underwrite differently today than we would have previously in a market like San Francisco. But again, I also don't think that -- I think it would be premature to say that demand never comes back into those markets. I think for us specifically, we're fortunate that we're in the Fisherman's Wharf submarket, because we do think that's a more leisure oriented submarket generally and likely one that will come back sooner than some of the other submarkets downtown.
Neil Malkin: And then it'd be great to get any insight into kind of conversations you've had with GIC, obviously, your JV partner, been obviously pretty non-active. But I know that you guys have obviously -- when your hallmark is your very creative strategic capital allocator and obviously, GIC is a long term vehicle. So wondering kind of what you guys are thinking about maybe near term or I guess, maybe in the second half of this year, priority is there in terms of putting some capital to work and taking advantage of the way you guys are uniquely positioned?
Jon Stanner: We do have very, very frequent conversations with GIC. They've been a tremendous partner of ours, really since the inception of the venture. I think as we've said pretty consistently, we're very fortunate to have this unique vehicle for growth as we look at what we hope is the beginning of a fairly robust recovery here. As you know, GIC is a long term vehicle, in many ways, they're built type of environments where there's some level of dislocation in market pricing. So we would like to take advantage of that. I think the first order of business for us is some of what we achieved even earlier this year between doing the convertible deal and amending for the second time our bank facility. So we now have, I think, a very positive liquidity position. And we've got real flexibility in our balance sheet to pursue deals. It has been quiet from a transaction perspective over the course of the last six months or so. We do think that's going to change. We've started to see the thawing to some degree of both the credit markets and the transaction markets. And so I think we're very pleased that we've given ourselves, we built the flexibility and the liquidity to be able to pursue those, and GIC is very likely a big part of the equation for us in that pursuit.
Neil Malkin: And just in terms of that, do you expect that in 2021, acquisitions you make will be exclusively within that venture?
Jon Stanner: I wouldn't say it's necessarily exclusively in the venture. I do think that is our preferred method for growth at this time for all the reasons that we've talked about. It lowers the capital requirement from our perspective, it creates a fee stream and a promote opportunity that should enhance returns. So I wouldn't say it has to be in the vehicle, but I do think that is our preferred vehicle of growth at this time.
Operator: Our next question will come from the line of Austin Wurschmidt from KeyBanc.
Austin Wurschmidt: Jon, you had mentioned an expectation of being cash flow positive, I think, you said by the latter half of 2Q. Can you just remind us what RevPAR level gets you to corporate level breakeven either before or after CapEx? And then with expenses presumably increasing along with the ramp in demand and occupancy, how should we think about that relationship between RevPAR growth and expense growth beyond that breakeven level?
Jon Stanner: I think what we've kind of said, and this has been consistent is that somewhere between kind of $60 and $70 RevPAR is where we think we need to get to be breakeven at the cash flow level. That does include kind of the ongoing maintenance level of CapEx that we've been spending, which has been somewhere between $1 million and $1.5 million on a monthly basis. So I don't think our view has changed there. As we've said, we're getting closer to that level. We're getting to that level and exceeding that level on weekends. And so our hope is if this trajectory continues and again, some of the commentary we made in the prepared remarks, we've seen some great pickup in February, our pace into March looks really good. We do have a level of optimism that we'll get there at some point in the second quarter. Our belief on, I think one of the things the team did a great job of last year was managing expenses. And so when we talk about 70%-ish RevPAR declines over the last eight or nine months of the year and a retention rate in the kind of the mid 40%, I think that's really positive. I would think, we look at it probably more so on a relative basis to '19. I think in and around those levels we’ll continue to persist. As you mentioned, we are going to start to bring some level of expenses back that potentially influence that number to some degree as occupancy comes back. But today, where we sit today, we're still running these operations incredibly lean. And we're only going to bring back services and amenities and additional staffing to the extent that the demand is there to support it.
Austin Wurschmidt: And then in that comment, referencing the meaningful pickup in pace in March. Can you put a little more detail around the nature of that pickup in bookings, anything regionally to call out or otherwise? Just any additional details on that comment would be helpful.
Jon Stanner: Yes, our March pace today sits a little over 30% ahead of where February is. We don't talk a lot about pace because, as we mentioned also in the prepared remarks, our booking window is really small, short. But I do think that it is a very positive sign, particularly because we had Super Bowl and President's Day weekend in February. And so I think what you're seeing is, again, more of a continuation of this recovery in leisure demand predominantly. And it's in some of the markets that you would expect, some of the markets that performed better last year, markets like Tucson and Tampa, and Phoenix. And Silverthorne, we've had a really good quarter. So I would say it's more of a continuation of some of the trends that we saw in the fourth quarter is what’s, for the most part, driving that pace. But it is, I think, encouragingly fairly broad based.
Austin Wurschmidt: And then if I can, just one more. Very helpful comment there. But the Summit team really spent the last cycle turning over the portfolio, evolving the market and even submarket makeup of your hotels. And so just coming out of the pandemic, there's a lot of discussions around evolving travel trends and what this next cycle holds. And I think Neil touched on it a little bit. But how does this go into your thinking about the future makeup of the portfolio and sort of transactions that you'll pursue?
Jon Stanner: I think the first thing I would say is that we really love the portfolio that we own today. I think as we sit here and look at how the recovery unfolds and the trajectory in the markets in which it unfolds, I think we feel really good about the 72 hotels that we own today. We have always been big believers in evolution. And I don't think that we necessarily believe we need to transform the business, like the business was transformed over the first kind of nine years as a public company. But we do think we'll continue to try to be forward thinking and thoughtful around how we evolve the business. And I think one of the things that we've done well historically as a company is found creative ways to grow through transactions, even in markets in times where it's otherwise been difficult to do. Some of the historical transactions we've done, we think have been very forward thinking in terms of how guest trends are going to evolve. And I think we'll continue to make that a priority.
Operator: Our next question will come from the line of Dany Asad with Bank of America.
Dany Asad: My question to you is on rate. So how much of the 35%, like rate decline that we saw in the fourth quarter, how much of that is the mix shift of corporate versus leisure? And then to tie that out to what the brands have said about holding corporate negotiated rate [steady] versus last year and the year before. How should we think about, again, that mix shift, how would that affect the timing of a rate recovery this cycle?
Jon Stanner: I mean I think how rates change over the course of the year is something we spent a lot of time. I mean to look backwards to start for your question. I do think there was, it was a mix of both change in mix and just overall rate degradation last year that drove rates lower. We've talked about how optimistic and bullish we are on the recovery. I think the one thing that we're watching very closely is rate integrity. We do see some positive signs as we look out into the summer months, particularly in some of the more popular leisure travel periods where we've seen good rates hold, even relative to where they were in 2019. As you alluded to, I think positively, most of these corporate negotiated rates have held flat from 2020, which were essentially held flat from 2019, that is a good thing. Most of them or many of them are going to have level of dynamic pricing associated with them, which creates some level of risk if there isn't the amount of compression in a market. So I think we're optimistic about rate. I do think that is probably the one place that we hold out some level of uncertainty, and we need to see a level of compression in other types of business build back into these markets before we get corporate rates back up in and around where they were pre crisis.
Operator: And our next question will come from the line of Chris Woronka from Deutsche Bank.
Chris Woronka: Jon, let me add my congratulations on getting into the the top seat there. We're glad to have you there. So the question was on, we've heard a lot of your more full service oriented peers talk about how they have to reshape the operating model. And it seems like a lot of full service hotels, especially those in suburban airport markets might look and feel a lot more like select service hotels going forward. How do you kind of look at that? And are there any concerns there that a full service hotel becomes more competitive if it has to kind of play a different rate level going forward?
Jon Stanner: I think we've always felt one of the advantages that we have has been the efficient nature of our operating model and how efficiently we can operate these hotels. And so when you hear things like full service hotels trying to operate more like select service hotels, in some ways, we take that as a complement that the type of hotels and the way that we operate our hotels is a better way to create value and a better path to profitability. And so, I think, ultimately, if they're converting their operating model to look more like operating model, I think location, quality of products are going to win out. And we feel really good about the locations we own and we have a young portfolio. The average age of our portfolio is under four years, most of the portfolio has been renovated. And so I think we'll continue to compete very, very well with that type of product.
Chris Woronka: And then it's probably a conversation for another day later on, but you'll have a CFO in place, and understanding that it will later be a Board decision. But as it pertains to dividend, and you guys will probably be in a position to potentially restart something meaningful sooner than some of your peers. What's your high level view on how important that might be, especially in light of what's going on with interest rates in the market?
Jon Stanner: We've always felt that dividends were an important part of the kind of the total shareholder return story of the company, and we never viewed them as as an or, we viewed it as an and. We're obviously in a very unique environment today. I think positively, from a REIT perspective, we're not going to have any near term need to reinstate the dividend. We'll do so opportunistically. I think, frankly, it's unlikely that that happens this year. But going forward as the business recovers, it is something that we'll look very closely and as we do with all capital allocation decisions.
Operator: [Operator Instructions] Our next question will come from line of Michael Bellisario from Baird.
Michael Bellisario: Jon, just on the acquisition front, maybe when you're underwriting deals and looking at certain properties today. Can you help us understand what metrics are you looking at today when evaluating deals? And then also, are you looking at anything differently today versus how you maybe would have looked at it on a pre-pandemic basis?
Jon Stanner: The methodology is the same, right? I mean we're typically solving for hold period unlevered IRRs. That hasn't changed. Clearly, the starting point from our underwriting perspective has changed. And I think that's the primary method that we use to underwrite assets. We want to underwrite to returns that exceed our weighted average cost of capital. Again, the starting point has changed. I think the dynamics in certain markets have changed, given what's happened with COVID, and we talked a little bit about the dynamics in urban and gateway markets and some of these other -- and some secondary markets, Sunbelt markets, that likely have a quicker demand recovery. But the overall process hasn't changed. Again, we've tried to be very prudent capital allocators and solve for returns again that exceed our weighted average cost of capital.
Michael Bellisario: And then just on the CapEx front, I’m not sure if you provided us. But can you give us a sense of what you think you might spend in 2021? And then how do you ensure that you keep the market share gains that you've realized so far, I guess, and/or make sure you outspend your comp set, given that you're in a better financial position than most other owners today?
Jon Stanner: So we spent about $23 million in CapEx, in 2020, $11 million of which was in the first quarter, kind of projects that were already baked pre-COVID. Where we're at today is we continue to spend maintenance and emergency and necessary type capital, ensure that the properties stay in proper physical condition. I would say that our expectation is to spend somewhere between $15 million and $25 million on a pro rata basis this year in capital. That's likely to be back half weighted when we've got a little bit better visibility into the business. But we have a number of projects, as you alluded to, that we'd like to keep on schedule. We're fortunate to have the liquidity to do it. And assuming we get some reasonable pace of recovery, we'd like to continue to make sure that the portfolio stays in good physical condition. So the overall level of spending will likely be fairly close to what we spent in 2020. Again, it will be more back half weighted than front half weighted. From a market share perspective, as we said, I think the team did a marvelous job last year from a share perspective. We ran 134% RevPAR index for the year. It was up almost 20 percentage points. I think as nominal RevPAR has increased, I'm not sure that that level of outperformance is sustainable. I do know that the team has done and will continue to do a great job finding some of these unique pieces of business. And if you really look at what drove the RevPAR index performance, it was mostly an occupancy share gain. And a lot of it has to do with being able to find kind of unique pockets of group business, that others in our comp sets weren't able to find. So I'm not sure 135% is the new bar for us, but I do feel very strongly that we'll continue to do as good a job as anyone from a market share perspective and continue to run high RevPAR indices.
Michael Bellisario: And then just remind me, 2019, market share was in the 100 and teens roughly, right?
Jon Stanner: Yes, it was about 115.
Operator: And I'm not showing any further questions in the queue. I'd like to turn the call back over to Jon Stanner, President and CEO, for any closing remarks.
Jon Stanner: Well, thank you all for joining us today. As you can tell, we're extremely excited about the future of Summit. And proud of the many steps we've taken over the last 12 months in what has been a challenging environment to position us well going forward. We look forward to seeing you all hopefully in person very soon. Have a nice day.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for participating. You may now disconnect.